Operator: Hello, and welcome to SelectQuote's Fiscal First Quarter 2024 Earnings Call. My name is Terry, and I'll be coordinating your call today. [Operator Instructions] It is now my pleasure to introduce Matt Gunter, SelectQuote's Investor Relations. Mr. Gunter, you may begin your conference call.
Matt Gunter: Thank you and good morning, everyone, and welcome to SelectQuote's fiscal first quarter earnings call. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion. After today's call, a replay will also be available on our website. Joining me from the company, I have our Chief Executive Officer, Tim Danker; and Chief Financial Officer, Ryan Clement. Following Tim and Ryan's comments today, we will have a question-and-answer session. As referenced on Slide 2, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management's current expectations and beliefs concerning future events impacting the company and therefore involve a number of uncertainties and risks, including but not limited to, those described in our earnings release, annual report on Form 10-K, quarterly report on Form 10-Q for the period ended September 30, 2023, and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And with that, I'd like to turn the call over to our Chief Executive Officer, Tim Danker. Tim?
Tim Danker: Good afternoon, everyone, and thanks for joining us. We're proud to share that SelectQuote produced stable and strong profitability in the first quarter of fiscal 2024. We've now achieved seven consecutive quarters of materially improved operating results in each of our business segments. At the risk of repeating ourselves, we have made significant strides across both our senior distribution and healthcare services segments, and are confident in the platform's ability to produce a consistent fundamentals, and most importantly, expand consolidated profitability. Our core senior business continues to perform well driven by our strategy to overweight tenured agents and arm them with high quality leads. As a result, the first quarter again exhibited strong agent close rates in policy approval rates, efficient marketing cost per approved policy, and stable retention metrics, all of which give us substantial confidence as we enter the 2024 AEP and OAP seasons for Medicare Advantage. Similar to last year, we've hired and trained agents earlier and are very well prepared for the season. In fact, early results for AEP have been good and in line with our expected execution. Our healthcare services business driven by continued strength in SelectRx generated strong growth and was again profitable in the quarter despite 1Q being a higher expense period to prepare for the lead flow SelectRx expected to receive during the busy AEP and OEP selling seasons. Put another way, the scale of SelectRx is ramping, which is great to see as SelectQuote becomes an increasingly year round business. For SelectRx specifically, we have now surpassed 52,000 members and continue to see significant runway for both growth and increased profitability. As a point of reference, healthcare services revenues exceeded our senior revenues for the first time in company history this quarter, which speaks to the increasing diversity and power of our integrated model Lastly, our Life, and Auto & Home businesses were solid and continue to provide a strong base of cash flow for the overall organization. Overall, we're proud of the successful results delivered in the first quarter, which is the slowest seasonal quarter of the year. The company delivered consolidated revenue of $233 million resulting in adjusted EBITDA of negative $11 million as the company geared up for the 2024 AEP season, which exceeded our internal expectations and represents a year-over-year improvement of more than $16 million compared to 1Q fiscal '23 driven in large part by the positive and growing contribution from healthcare services. As a result, we're very well situated to execute our fiscal 2024 and reiterate the guided financial ranges provided last quarter. If we turn to Slide 4, let me provide color on our approach to AEP and what we've observed so far this season. As we've communicated previously, we believe our strategic redesign has repositioned the company to deliver consistent and strong returns in a range of Medicare Advantage selling seasons. Represented here are the pillars of our strategy, which should all look familiar because this is the same playbook, we have run the last seven quarters. Let me begin with the pillars that are within SelectQuote's control; our agents, marketing and technology. First, our agent lead model continues to be SelectQuote's biggest competitive advantage and again, we're prepared for the upcoming season by hiring, training and onboarding those agents earlier than in years past. The strategy to employ a higher mix of tenured agents has been a winning formula as those agents have historically been about two times more efficient than newly hired agents. Better yet, because the SelectQuote model empowers our agents and provides a compelling career opportunity, our tenured agent retention remains very strong and strengthened over the course of the past year. We believe this is a key strategic advantage for SelectQuote. And we've entered the AEP season with what we believe is the best and most prepared salesforce, which is critical as we know each season can be different. Second, our marketing strategy will again focus on quality leads for policyholders exhibit factors that predict higher persistency and less shopping behavior. And third, we have further developed our technology and agent desktop tools, which enable our agents to serve policyholders with the best solutions for their specific needs as efficiently as possible. As I mentioned, these three pillars are within our direct control and we believe we have designed the best model to ensure success at each point in the value creation chain. This brings us to the plans designed by our carrier partners, as expected plan features this year are largely similar to last season, especially amongst the largest carriers with continued investment in the most important plan benefits. We're also encouraged by the increased emphasis on health care services as part of the Medicare Advantage ecosystem. This is clearly aligned with SelectQuote's view of the world and where it's going. Bottom line is we feel good about SelectQuote preparation and the early indicators point to our ability to close and win policies effectively this season. Lastly, beyond the policies themselves. SelectQuote has been recognized by carriers as a quality distribution partner and we've seen this exhibited in deeper coordination to ensure the best onboarding experience and retention behavior once policyholders have chosen their plan. I'll conclude my remarks on Slide 5 with another perspective on how unique the SelectRx platform is, both in terms of our ability to successfully onboard and rapidly scale the business. At left, we detailed two pharmacy platforms we acquired in 2021. Despite the excellent consumer value proposition, the businesses were subscale with only about 4,500 members. The businesses also experienced high customer acquisition costs, and were hampered by disparate systems, which made customer service and logistical efficiency difficult to manage. On the right is what we had built in SelectRx, which is rapidly scaled in terms of both member growth and profitability. Aside from a lot of hard work by our team, the key success factor has been how we interact with in our customers. Similar to the senior distribution platforms, we are successful when our customers get the best care that is tailored to their specific needs. The only way to achieve that goal is with information and personal engagement. We've utilized that engagement to drive growth for select SelectRx. Member growth today has almost entirely come from the population of seniors we've assisted with Medicare Advantage plans, effectively requiring zero additional marketing spend. At attractive unit economics, we believe SelectQuote is also well positioned to reach consumers outside of our Medicare Advantage business. Additionally, our platform and information advantages mean we have the scale and capabilities to serve all 50 states. Our single pharmacy system is more efficient and is seamlessly integrated with our automated fulfilment and shipping functions. The scale and efficiency translate directly to our unit economics evidenced by our revenue per member per month being more than 35% higher than what the prior business achieved. Lastly, we're becoming more efficient as we grow both as we scale our fixed costs, but also as we continue to use our buying power to negotiate improved drug pricing. In sum, SelectRx is the prime example of why SelectQuote is not just a Medicare Advantage distribution company, but is an information hub that enables differentiated customer acquisition and engagement. Both we and our partners see SelectQuote as competitively unique and positioned at an advantage intersection of the rapidly shifting healthcare ecosystem. SelectQuote has always approached our value proposition holistically to each of the key stakeholders in healthcare and insurance. Medicare Advantage is simply one product facilitated by our model. Tailored prescription drug delivery, driving higher patient medication adherence and convenience is another. We noted last quarter, there are additional market opportunities for us to leverage SelectQuote's platform to deliver value to participants in the healthcare ecosystem. We plan to share more as we develop these strategies in the coming quarters and years. I'd like to emphasize that we believe our company is being viewed through the wrong investment lens. To be clear, it is our responsibility to execute and produce financial results for our shareholders. What is less clear to us is how the value of SelectQuote seems widely dislocated, relative to the broader market opportunities we pursue and the unique approach we take to deliver financial results in that pursuit. With that, I'll end my remarks and turn the call over to Ryan. Ryan?
Ryan Clement: Thanks Tim. I'll begin on Slide 6 with our consolidated results for the first quarter. As Tim mentioned, the quarter was successful not just relative to our initial expectations but also as the company continues to diversify and smooth the seasonal swings from quarter-to-quarter. As many of you know, our fiscal first quarter has historically been a period with lower revenue and elevated investment as we ramped for the Medicare Advantage selling season. We are pleased by the increasing offset our healthcare services business contributes to the expense incurred in the quarter. As you can see in the chart here, revenue grew by 43% compared to a year ago, primarily driven by SelectRx. More importantly, our adjusted EBITDA improved by over $16 million year-over-year, as health care services continues to scale and is increasingly accretive to EBITDA. In sum, the quarter was a success for SelectQuote across the Board and we feel good about our preparation for AEP and OEP and similarly feel confident in the fiscal 2024 targets we communicated last quarter. If we turn to Slide 7, let's review our senior segment results. In what's the smallest of our quarters, we're very pleased with the efficiency with which SelectQuote has prepared for the AEP and OEP selling season. Similar to Tim's comment, we are executing the same strategy as last year with earlier onboarding and higher mix of tenured agents. Aside from the sales efficiency benefit we expect this season, we are increasingly pleased with how streamlined we have become in mitigating preparation expense and investment. To that point, our senior business grew revenue by 16% compared to a year ago which resulted in adjusted EBITDA just shy of breakeven during the quarter, but it's historically been a significant investment quarter. Turning to Slide 8, let's review the makeup of the first quarter for our senior distribution business. As you can see at left, MA approved policies grew by 17% to 98,000. And as Tim mentioned, we continue to engage with carriers early in the selling season and our fiscal first quarter is another example of those efforts. One key detail I would like to draw your attention to is the year-over-year change in booked LTV for the quarter, which averaged $761. As we noted last quarter, the sequential decline in LTV is typical given commission's booked in our fiscal 1Q are prorated for the shorter initial year duration. On the other hand, the year-over-year decline in LTV is more of a function of policy mix by carrier and to be clear is not an indicator of persistency which continues to exhibit improvement. It is important to emphasize that we continue to see the benefit of our strategy on policyholder persistency and reiterate our view that booked LTVs for fiscal 2024 will be higher than fiscal 2023. We hope this additional detail is helpful especially in a seasonally smaller quarter were mixed impacts like the one I just detailed can swing our KPIs. For context, our first quarter historically makes up about 15% of our booked policies for the full year. On that point, let's move to Slide 9 where we can underscore our confidence in the underlying unit economics of our senior distribution business, which were again very strong. SelectQuote drove increased efficiency across each of our core KPIs compared to a year ago. Operating expense for policy declined 22% year-over-year, marketing expense for policy improved by 30% and our agent close rates increased by 25%. As we've shared over the past two years, these improvements are a direct result of our strategic redesign and best of all, they have synergistic benefits to one another. Our expenses per policy benefit from the deployment of better and more experienced agents, our marketing costs for policy benefit from refocus lead targeting, which in turn benefits agent close rate. And lastly to the point of our confidence in LTVs, we firmly believe that our strategic redesign has improved the persistency of onboarding policyholders. To bring in full circle, we monitor each of these metrics closely and provide them for context in your analysis. That said, what is most important is our conviction that the mix of these building blocks for unit economics will generate consistent profitability in a range of Medicare selling seasons. Put another way, which they will observe persistency and the per policy efficiency we have delivered over the past two years, we reiterate our view that the senior distribution business can produce attractive EBITDA margins in the low 20s in fiscal 2024. Let me turn to healthcare services and give additional detail about the strong results SelectRx continues to produce. Beginning with member growth. In a seasonally slower quarter, SelectRx continued to grow sequentially, and we have now eclipsed 52,000 members, which is up over 60% compared to a year ago. Again, we would note that nearly all of the growth in our membership today has come from customers we've engaged with on Medicare Advantage. With over 4 million Americans turning 65 each year, there is a long loan rate for that source of growth. As Tim alluded to though, the population for those in need of organized and convenient prescription drug delivery is significantly larger, and SelectQuote has the opportunity to generate growth and attractive returns on investment with other lead sources. We'll share more on these initiatives as the business continues to expand. As you can see, there are a number of growth drivers for SelectRx including organic member growth through our Medicare Advantage business, new lead opportunities and lastly the continued maturation of our membership. Specifically, healthcare services revenue totaled $97 million for the quarter and our adjusted EBITDA was again positive at over $2 million, which is a strong result given a seasonally slower quarter with higher expenses in preparation for the season ahead. Overall, we are thrilled with the progress and you can see the ramp in both our revenues and adjusted EBITDA as the business continues to scale. Lastly, I'll briefly touch on our Life and Auto & Home segments, which performed in line with our expectations and similarly benefited from the strategy we've employed in our core senior business. Combined revenues of $47 million were up nearly 7% compared to last year. Our life business continues to benefit from the broadening adoption of our SwiftTerm Select Product and our Auto & Home business remained stable despite a hard P&C insurance market. Overall, the Life and Auto & Home segments produced stable profitability with combined adjusted EBITDA totaling nearly $9 million. Finally, it's worth noting that both our auto and home and life businesses are solid contributors to company cashflow. With that, let me conclude our prepared remarks and take your question. Operator?
Operator: [Operator Instructions] The first question on the line comes from Ben Hendrix of RBC. Please go ahead. Your line is now open.
Ben Hendrix: Thank you very much. Congratulations on a strong quarter. Appreciate the comments, early comments about AEP being good progress and in line with expectations. You noticed the plan features are similar to what you saw last year and engagement clusters has been in line. Was there any surprise in that? We heard earlier this week from Humana, that they've made the same observation that the plan features and plan design was kind of more closely resembled last year than they had expected given the risk model changes, and that they expected there could be some contraction in shopping behavior versus what they had initially expected. Wanted to see if there was anything that changes the way you're thinking about AEP for the rest of season versus heading in? Thank you.
Tim Danker: Hi Ben, this is Tom. Thanks so much for joining us this afternoon. We appreciate it. I'll make some comments and ask Bob Grant our President to comment as well. But I'll start just by saying, we feel good about our overall preparedness coming in to AEP and how things are really shaping up in the early innings. To your question about the plan features, yes, we heard that as well and I think it was alluded to kind of going into the season that some of the managed care organizations are going to reevaluate some of their plan benefits, but also ensure that they kept the benefits that were most important to MA beneficiaries. We've now started selling those 24 plans, we've got visibility to those plans, and I think globally, would agree we've not seen degradation in plan designs. And I think the carriers have largely achieved the goal of really keeping those most critical consumer benefits. Bob, anything you want to add on plan features and maybe Ben's second point, question around shopping behavior.
Bob Grant: Yes, absolutely. So Ben, what's been really interesting, is we believe that the watching what's happening now and to Humana' comments in Tim's, that the carriers are just getting smarter about plan design. It's not that long ago that they introduced ancillary benefits which would become such a big deal within the plan design. And we're really seeing the carrier's get more intelligent on where they pull back on, I'd say benefits that just aren't used very much or beneficiaries don't seem to care about and getting really intelligent about putting more dollars behind benefit - that beneficiaries do very much care about. So we're seeing actually a further investment and things people seem to like in kind of ancillary benefits world, and a little bit of a reduction and things that people don't seem to really focus on as we go through those conversations, which actually, to that point, you know, we're seeing really strong kind of shopping behavior in a good way for us. But we're actually feel really, really good about our book. And early indications, feel very good there. So meaning our volume is strong. But what we - what we're seeing from talking to our consumers, they're happy with the plan that they're on, and they're happy with the changes that the carriers made. We also think that the reduction in kind of the industry as a whole, and what happened two years ago, and kind of all of those things are also helping create a tailwind where there's just not as much kind of noise in the marketplace, if you want to say which we've been very open about. And I also think our targeting of consumers to your second question, and how we understand where we should really kind of focus and hone our marketing in on, take those customers in a proper way we understand now kind of how to help them navigate plan benefits, those things, all the things we've been talking about, which have led to a really, really large 90 day increases - or increased 90 day persistency, which are great leading indicators, we're seeing those leading indicators play out. And we feel great about kind of the way we're doing business, and what's happening on our books. So I think kind of a win-win for us.
Ben Hendrix: Great, appreciate that. Just staying on the same track here, last night, we heard from MediaAlpha as well. And one thing that they noted was potentially a slower start to AEP for some of their partners, due to some of the implementation of the regulatory changes that we've talked about, over the last couple of quarters. Just wanted to see if there's anything as a surprise from a regulatory perspective. And if maybe headwinds for some other brokers may be kind of supporting some of your strong volumes.
Tim Danker: Yes, great. Great question. Fair question, Ben. May, we are seeing some impact from the 48-hour role, specifically on the industry but it's certainly in line with what we expected. Again, we've been in this business for almost 13-years, we're very accustomed to role changes, those are not uncommon. And we had spent the better part of the summer all the way leading up into AEP, preparing both with our carrier partners, as well as our marketing partners to make any necessary adjustments. So for us, not significant disruptions. You know, we can't speak to other industry players that kind of stick around knitting, but would say, we don't see any risk to the fact that we believe we can drive 20% plus full year margins in the senior division consistent with what we guided to in August.
Ben Hendrix: Great. Switching over to - switching over to SelectRx real quick, how do we benchmark the growth trajectory that we're on here? It seems like if you guys clearly are ramping this business up nicely, but just wanted to see kind of what we can expect and what you are budgeting for the rest of the year in terms of growth in that business? And is there any risk of overgrowing or going too fast beyond the platform there?
Tim Danker: Ryan, do you want to take the lead there?
Ryan Clement: Yes, absolutely. I shared with our guide for the year, we are expecting membership growth of around 25%, healthcare services revenue we are expected to grow even faster around 50%. You know, that's really driven by the continued maturation of the base, as we get more and more members to full boxes. It is important to recognize that - this offering is different from the insurance offerings and that we actually ship this out each and every month. And so the membership base continues to grow, as we've shared, the vast majority of the members today have been generated through the interactions we've been having on the Senior Medicare distribution platform but we do see an opportunity to grow and generate really attractive margins outside of that, but we absolutely are - as we prepare for the AEP season, ramped up and expect strong membership growth over the coming quarters.
Bob Grant: Oh, I was just going to talk about your question on growing too fast. We feel really, really good operationally where we are, I would say that kind of 4,000 member to 50,000 membership base was significantly harder operationally than what we anticipate this kind of growth period. Because to Ryan's point, yes, we're growing members, but we're growing revenue at a greater pace by getting more full boxes, more tenured customers, more happy customers, and we're very, - we're very excited with where we are, operationally, our customers are extremely satisfied. Our NPS scores are incredibly strong relative to most pharmaceutical, not pharma businesses. That's a really friction filled space, which we talked about, and ours are above excellent. So we feel great about that. And the TAM is massive. So, we, we feel really good operationally where we are to supplement that to Tim's point, we've really done this on the backs of senior customers and conversations that senior has, we do see an opportunity to go and really click down on that business in a responsible way, through finding customers from other channels. So now that we've built this mousetrap now that we are kind of one of the largest players in this space, in a very, very large, necessary, TAM, we feel good about our ability to find new customers. And I think we've proven that out in the past too with final expense, we started that out as an offshoot of our life insurance, business and our senior business. And now it's a great kind of independent business that takes its own - finds its own customers, same thing with auto and home years ago. So we are really, really bullish on our ability to market towards that.
Ben Hendrix: Got you. And then last question on SelectRx. Just wanted to get an idea of some thoughts on receptivity among leading carriers to this program, the extent to which SelectRx can work hand-in-hand with some of the plans you're distributing. Does it - you mentioned that supplemental benefits are popular, mail order drugs are popular and is there anywhere way where SelectRx can clash with plan design?
Bob Grant: You go back to a year ago, when we said, hey, we're doing a good job partnering with carriers. I'd say today we're doing a great job partnering new carriers, we're proving that not only does this have a benefit to overall happiness in the plan, it actually has positive persistency changes, more data, better stars, significantly better adherence and other programs because of the design of the boxes and everything associated. So we feel great. We also have industry leading [MTM] completion rates per kind of one of our partners. That's also a carrier and healthcare business, but then a carrier so we feel stronger than we ever have about what that partnership looks like. And, we've talked about this before, these aren't really mail-order eligible clients. They're not folks that should be on mailer, right, our average box has over seven drugs, and our average member has over 10 drugs and enrollments. And they are expressing extreme concern around taking those drugs, drugs as prescribed. That one through five drugs is really what we believe is the space for mail order. And we're very supportive of the carriers actually, one of our partners, we're their largest kind of referral source, or we do an opt-in since they have the ability to call the consumers on behalf of their mail-order pharmacy, and we're the most successful shop doing that, while building this business. So we don't really see it as friction, we see it as an opportunity to continue that partnership beyond just the MA plan.
Tim Danker: Yes, I think it's really well said what Bob mentioned. We feel that we are very aligned with all participants in the value chain, a clearly a very different solution and high adherence solution, one that can help the consumer lead a healthier, happier life. They can help with through that adherence, then cost curves. And I think all the feedback that we've got from the broader ecosystem has been very positive.
Ben Hendrix: Great, thanks. Shifting gears again. Just real quick, I appreciate the comment on the P&C hard market cycle, any thoughts or any forecasts of kind of when we - it feels like we may be hitting towards an inflection point but any thoughts on kind of when we see material change in that space?
Tim Danker: Yes, we've certainly as we noted, last quarter, the P&C market have certainly had a hard market. I don't know that we have any prognostication exactly when that makes often, there are some signs of that but also some carriers that are better resetting that right in terms of their underwriting specific to our brokerage, the business continues to perform quite well. It's a good - obviously very strong value proposition but also is helping create meaningful cash flow for the customer or for the company. And we feel like even some of the activity that we've seen in terms of close rates and our ability to help convert customers through re-shopping, we're having good progress on that. So more to come on that Ben.
Ben Hendrix: Great, thanks. My last question, I appreciate the commentary on the 1Q volume mix typically that you see, I was just wondering if there's any EBITDA cadence thoughts you could offer at this point in the fiscal year? Thanks.
Tim Danker: Ryan?
Ryan Clement: Yes, I think as we shared on our last earnings call and the guide, we do are expecting that the EBITDA cadence and overall distribution by quarter for the various business segments will largely follow what we've historically recognized. The one deviation from that being the healthcare services business, which we're projecting EBITDA margins in the low single digits, obviously entering the year in one slot and actually had a materially higher margin rate as we continue to grow and scale that business.
Ben Hendrix: Great. Thanks a lot, guys.
Tim Danker: Thank you, Ben.
Operator: Thank you. We currently have no further questions. Therefore, I will hand back to Tim Danker for any closing remarks.
Tim Danker: Well, thank you again for joining us as we enter the busy season for our Medicare Advantage and Healthcare Services segment. To say it again, we have a lot of confidence in our strategy, conviction grows with each quarter that's like what drives strong profitability and cash flow. We certainly believe fiscal '24 will be more of the same and with the scale of our Healthcare Services segment will drive even more operating leverage for the company. So we thank you again, and look forward to speaking next quarter. Everyone have a good evening.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect your lines.